Operator: Good morning, and welcome to Wiley’s Q2 Fiscal 2025 Earnings Call. As a reminder, this conference is being recorded. At this time, I’d like to introduce Wiley’s Vice President of Investor Relations, Brian Campbell. Please go ahead.
Brian Campbell: Thank you, and hello, everyone. I’m with Matt Kissner, Wiley’s President and CEO; Christopher Caridi, Interim CFO; and Jay Flynn, Executive Vice President and General Manager of Research and Learning. Note that our comments and responses reflect management’s views as of today and will include forward-looking statements. Actual results may differ materially from those statements. The Company does not undertake any obligation to update them to reflect subsequent events. Also, Wiley provides non-GAAP measures as a supplement to evaluate underlying operating profitability and performance trends. These measures do not have standardized meanings prescribed by U.S. GAAP and therefore may not be comparable to similar measures used by other companies, nor should they be viewed as alternatives to measures under GAAP. Unless otherwise noted, we will refer to non-GAAP metrics on the call and variances are on a year-over-year basis and will exclude divested assets and the impact of currency. Additional information is included in our filings with the SEC. A copy of this presentation and transcript will be available on our Investor Relations webpage at investors.wiley.com. I’ll now turn the call over to Matt Kissner.
Matthew Kissner: Thank you, Brian, and hello, everyone. At the midpoint of the year, we’re pleased with our continued progress. Our revenue and profit performance are in-line with our expectations, our investments are starting to pay off, and we remain confident in our full-year trajectory. We’re working to deliver compounding growth and material margin expansion over time. Our knowledge businesses remain recession tolerant, our balance sheet and cash flow remain core strengths, and we’re starting to see AI related tailwinds. I know you may have questions about the political environment in the U.S. It’s too early to speculate on any impact, positive or negative that a new administration could have. I’ll just say this, scientific exchange and global R&D investment have always risen above the changing political tides given their vital importance to economic growth and quality of life. Research and Learning remain the twin foundations of the global knowledge economy, and Wiley is enabling them through the creation of new knowledge and its application. We have become a most trusted source in an ever changing world that is overloaded with unsubstantiated information and skepticism. We remain confident as ever in our central role of ensuring the accuracy, trust, impact and application of knowledge. It’s getting more important by the day. Let me also welcome Chris Caridi to his first official earnings call. Chris has assumed the role of Interim Chief Financial Officer in September. He’s been our Controller for eight years and continues to be a trusted partner to me and our leadership team. I’ll give him a more proper introduction later in my presentation. Okay, let’s review the headlines of this quarter. Revenue growth was driven primarily by Learning, which saw favorable market conditions across both academic and professional. Research generated modest growth, driven by positive demand trends, partially offset by a large year-on-year decline in legacy print and licensing revenue. Chris will speak to our segment performance in more detail. Margin expansion and EPS growth were notable this quarter. On AI, we’re moving decisively but methodically, structuring and expanding our available content and data catalogs, formalizing business development teams and pipelines, and developing publishing and author tools. There were no announced projects this quarter, but we are confident in both our pipeline and our progress. We made some recent leadership changes to move faster and more effectively as an organization, I’ll talk about them in a later section. We are advancing a culture of continuous improvement where we constantly evaluate the effectiveness of our spending and eliminate waste in all forms, where every investment is rigorously scrutinized and where we pivot without doubt or mercy as they say. Let’s review how we delivered on our key objectives this quarter. As a reminder, our first is to drive recovery and growth in research. We began the year with a 4% topline growth in research publishing and saw growth moderate this quarter due to the year-over-year swing in our legacy products as I discussed. It’s important to note that quarterly performance can fluctuate due to one-time items and other timing issues, and it’s far more relevant to look at us on a full-year basis. The core of the business continues to perform well, driven by gold open access and our institutional models. Demand to publish remains strong. We recently commenced our calendar year ‘25 journal renewal season with research libraries and consortia around the world. It’s too early to report numbers, but we see a healthy environment for our combined institutional models. Some very interesting news, the Indian government recently approved a One Nation, One Subscription program representing over 6,000 research institutions. So, instead of reaching only a portion of these institutions through regional subscription agreements, we’ll now have one national license to service directly and provide read access to scholarly journal content. We’re not ready to talk about incremental benefit, but we’re encouraged by this development and India’s 40% growth in article submissions. Finally, we’re cautious but pleased with the incremental improvement we’re seeing in our solutions business with new leadership there and moderately improved market conditions. Our second objective is to move decisively on near-term AI opportunities. Year-to-date, we’ve realized the full $21 million of the previously announced rights project. We also have a healthy pipeline of pharma and other R&D centric companies exploring content and data for their internal AI applications. A recent example is a targeted agreement with a large pharmaceutical company for access to specific journal titles. They will use this content and data to power internal drug discovery through AI. Our third objective is to drive continued profit improvement. Through the half, adjusted EBITDA and adjusted EPS were up 17% and 47%, and our adjusted EBITDA margin was up 220 basis points over prior year. Finally, all divestitures are officially complete. On to our results, note I’ll be excluding divested assets in my commentary unless otherwise noted. Revenue was up 3%, driven by Learning growth of 7% and Research growth of 1%. Adjusted EBITDA rose 14% to $106 million due to revenue performance and run rate cost savings. These savings were partially offset by investments in research. Our adjusted EBITDA margin for the quarter was 24.9%, up from 22.7% last year. Our 2Q margin is not a run rate number at this point, but it does demonstrate our underlying earnings power as we continue to drive for improved efficiency. Adjusted EPS was up 36% due to higher adjusted operating income and accrued interest income from our divestitures. A few words about our GAAP performance. The GAAP revenue decline was impacted by foregone revenue from sold businesses. The significant GAAP EPS increase was primarily due to prior year impairments and restructuring charges. Let’s talk about our leadership changes starting with finance. As noted, Chris assumed the role of Interim Chief Financial Officer in mid-September. He has been our Corporate Controller and Chief Accounting Officer since 2017 and has been a very steady hand ever since. Chris has over 30 years in the industry with top finance executive roles at multiple public companies. He and I and the rest of the leadership team will be focusing on further optimizing our cost structure and improving our capital efficiency and decision making. Turning to technology, we eliminated the CTO position and are combining the technology and operations organizations under Andrew Weber, our Head of Operations since 2021. Andrew is already leading the research end-to-end platform and enterprise modernization projects in addition to running the traditional operations function. Prior to Wiley, Andrew headed both technology and operations for several large publishers. He’s a proven leader and a proven economizer with a very strong financial acumen. Andrew, Chris and I will be looking very hard at our technology spend and existing infrastructure. Finally, marketing has become an important differentiator given the business model shifts in Research. Anna Reeves joined Wiley in 2023 to lead our marketing efforts and she’s made an immediate impact in building state-of-the-art digital marketing capabilities, attracting authors and increasing the top of the submissions funnel. Anna will assume the position of Chief Marketing Officer and join the Executive Leadership team representing another voice of the customer when we make key business and strategic decisions. I want to take this opportunity to thank Christina Van Tassell and Aref Matin for their service as CFO and CTO, respectively. Let’s turn to the AI opportunity. As a reminder, we see it in three pillars: Productivity, Publishing Innovation and Licensing and Application. We have surveyed our authors, enterprise customers, LLM developers and colleagues. The findings show widespread needs, but an early market, and we are recognized as a company at the forefront of this paradigm shift. Wiley has succeeded for 217 years because it not only embraced and benefited from technological and business model change, but helped propel it forward. That’s what a knowledge company does. On Productivity, we accelerated our pace this quarter in deploying multiple tools for our employees, enabling them to drive their personal productivity. Can we materially reduce our large administrative burden? Certainly, and we’re seeing it already in our early adopters. On Publishing Innovation, we’re focused on publishing efficiency, content creation and research integrity. Jay, Andrew and I are obsessive about publishing efficiency and cycle time. In our industry, it can take six months to nine months to accept and publish a scientific article, two years for a new professional book title, and three years for an advanced textbook. We are applying AI to reduce these cycle times, which will result in more publishing volume at lower cost and importantly, a much improved author experience. But this will take time to achieve as we work to perfect these AI tools, which, as you know, can have accuracy issues. We’re also using AI to detect fraudulent research and are working with several partners to commercialize this capability. Finally, at the Frankfurt Book Fair in October, we announced the launch of a co-innovation program to develop new AI applications in partnership with R&D centric companies. Our first announced partner is Potato, a start-up building out and AI research assistant for biology. On Licensing and Applications, we’ve realized $44 million of licensing revenue to-date and continue to build out a robust pipeline. As a reminder, our high-quality content and data in science, medicine, technology, engineering and business is foundational for training large language models and also in demand for vertical specific models in industries like tech, pharma and information services. As the market is rapidly developing and iterating, it’s difficult to size the addressable market for Licensing. It’s a bit like the Wild West at the moment, but we are actively in the market and learning in real-time along with our large corporate customers. Again, we’re confident in our direction to travel, but it will take time to develop some of these opportunities. On the Application front, besides the co-innovation program I just referenced, we’ve recently partnered with the School of Engineering at Arizona State University on a GenAI-powered tutor to help students succeed in their computer science labs. The purpose of the AI tutor is to provide immediate feedback to students who have hit a barrier in their zyBooks coding lab. This pilot is another example of Wiley collaborating with others to couple knowledge and application with AI capabilities. Let’s talk about the importance of reinvestment after several years of underfunding our profitable core businesses. As a reminder, we are reinvesting around half of our previously executed cost savings and all of the proceeds from our Q1 AI project into several key areas to drive compounding growth and further margin improvement in the years ahead. First, we’re investing to drive incremental growth in Research where we have a unique right to win. Our aim is to increase research publishing market share and exceed market growth of 3% to 4% over time. We’re investing to expand our editorial capacity to meet the demand to publish, expand our journal portfolio and optimize our go-to-market efforts to drive author engagement and retention. So how are we progressing? Our investments in journal brands and marketing capabilities are driving submissions growth of 18% and output growth of 7%. However, a very important reminder is that output does not automatically convert to incremental revenue growth. Much of this volume goes to supporting our multi-year subscriptions and transformational agreements, which remain the foundation of the business. While not a one for one, this volume allows us to strengthen and increase the value of these recurring revenue models. That said, we are encouraged by demand recovery in mature markets where acceptance rates are higher, along with strong growth in emerging markets. We are seeing good momentum in our strategy to build out our top journal brands, notably our advanced collection. This flagship portfolio consists of 22 high impact journal titles. This year, we’re launching two new journals focused on AI, Advanced Intelligent Discovery and Advanced Robotics Research, and additional journals in areas of strategic importance in the life and health sciences will follow. Top brands are often what differentiate the top publishers and advanced is a gold standard. We are also investing to transform our publishing and author experience through our Research Publishing platform. We’ve migrated a large number of journals to-date and continue to make progress in our development work. This platform will allow us to deliver new content offerings and improve cost per article and article transfer. During the quarter, we started to pilot new refer and transfer capabilities in research exchange review before rolling it out to all journals. This technology uses AI to match articles to journals, giving a better experience to authors, reviewers and editors alike. Finally, we’re reinvesting in AI growth and productivity as noted in rights management and business development and in working to make content available and structured for prospective and existing LLM developers. So, there’s a lot happening. Our focus continues to be on driving margin expansion while reinvesting in sustainable growth initiatives. I’ll turn the call over to Chris now to talk about our segment performance, outlook and financial position.
Christopher Caridi: Thank you, Matt, and hello, everyone. As Matt noted, our results are in-line with expectations and we remain confident in our full-year revenue, profit, and cash flow outlook, although there is some unusual quarterly phasing to discuss. Let’s start with Research performance. Second quarter and year-to-date revenue were up 1% and 2% respectively. For the quarter, Research Publishing growth of 1% was driven by growth in gold open access in our institutional models, offsetting an unusually large quarterly swing of $5 million in legacy print and licensing revenue. Legacy revenue includes many different smaller products such as backfiles, article pay per view, digital archives, and title-by-title sales to libraries. The vast majority of this revenue is non-recurring, and so it tends to be very uneven. Legacy performance this quarter was largely due to unfavorable comps, notably a one-time backfile deal in the prior year. Research Publishing is largely a recurring revenue business dominated by multi-year licenses to research institutions in the form of subscriptions and transformational agreements. We’re in the early stages of the calendar ‘25 renewal season, but we feel good about what we are seeing so far. We have already renewed several transformational agreements, including with one of our largest library consortia, and are making good progress on our overall goals here. The renewal season runs from now until March-April 2025. Research Solutions continued to improve this quarter, with revenue growth of 2%, driven by career centers, managed services, and databases. This offset softness in advertising. We anticipate continued improvement for this business in the second half driven by new products and our society business pipeline. Adjusted EBITDA for Research rose 1%, driven by revenue performance offset by reinvestment in the growth and productivity initiatives that Matt touched on earlier. Our Q2 margin was 31.3% compared to 31.6% in the prior year period. Year-to-date, it was 30.3% versus 30.7% in the prior year. To summarize, we are confident in our continued growth and improvement in Research and in the reinvestments we’re making to drive long-term success. We remain confident in our full-year outlook for research. Learning continues to perform well. Q2 revenue rose 7% or 5% excluding AI, driven by growth in both academic and professional. Academic was up 5% or 3% excluding AI, driven by continued double-digit growth in our zyBooks STEM courseware, inclusive access, and licensing, offsetting continued print declines. Year-to-date academic was up 12% or 4% excluding AI. After a down Q1, professional had a very good quarter with revenue up 11% or 8% excluding AI. We saw a positive online retail environment with improved store inventory levels and sell-through, and we are benefiting from publishing more front list titles in high demand categories. Most importantly, we have accelerated our pace in signing new titles, the most we have secured in years. This bodes well for future revenue growth in this business. Professional Publishing is a great example of where our targeted investment is starting to pay off. We are not declaring victory yet as this business tends to be more cyclical than others, but we are certainly encouraged. Finally, on the assessment side, which includes personality profile and team building offerings, we saw low-single-digit growth this quarter due to a soft corporate spending environment. Year-to-date, professional was up 8% or 1% excluding AI. To summarize, the Learning team continues to execute well, driving both revenue growth and over 500 basis points of margin improvement this quarter compared to the prior year. Year-to-date, our adjusted EBITDA margin was 35.2% versus 29.1%. It’s an example of what a more focused Wiley can accomplish. Corporate expenses were flat this quarter or up slightly year-to-date with higher tech spending for enterprise modernization offsetting lower executive severance costs and cost savings. As a reminder, these corporate expenses are not allocated to the business. Corporate expenses are certainly an area that we’ll be looking at going forward. Let’s talk about the remainder of the year. First, it’s important to look at us on a full-year basis rather than by quarter. To that end, we anticipate an uneven second half with Q3 challenged and Q4 elevated. Through the first half, revenue is up 2% and our adjusted EBITDA margin is up 220 basis points to 21.9%. In the second half, a significant portion of our fiscal year revenue and profit growth is expected in Q4. This is due to strong momentum and favorable comparisons in Research. As a reminder, Research revenue and adjusted EBITDA were down last Q4 due to the timing of certain journal renewals and market headwinds in our Solutions business. This year, we are seeing strong momentum in Publishing and improvement in Solutions. This, along with underlying growth in our core learning business, is expected to offset the $23 million one-time AI deal in Q4 of the prior year. Q3 is typically a lighter quarter due to seasonal fluctuations in learning revenue and will be challenged by our current year investments. That said, we are reaffirming our full-year guidance across all metrics given our first half performance and leading indicators. Let me quickly summarize our full-year outlook. We’re projecting full-year revenue of $1.65 billion to $1.69 billion for a topline growth rate of 2% to 4%. The two AI projects already executed, one in Q4 and one in the first half of this year, largely offset each other in year-on-year comparisons. Adjusted EBITDA is expected to be in the range of $385 million to $410 million for a growth of 4% to 11%. This reflects a margin target of 23% to 24%. As a reminder, we expect to realize $60 million of cost savings in year, but are reinvesting half of that or $30 million. On top of this, we’re reinvesting the $15 million of proceeds from our Q1 AI deal for total in year reinvestment of $45 million. As Matt noted, we come out of a multi-year period of underinvestment in the core, so we are moving decisively on growth opportunities and strengthening our position in the market. As a reminder, margin expansion is a multi-year objective for us with our goal of 23% to 24% this year, rising to 24% to 25% in fiscal ‘26 and working to continuously expand beyond that. Adjusted EPS is expected to be in the range of $3.25 to $3.60 for growth of 17% to 29%. The primary drivers are higher expected adjusted operating income and accrued interest income from divestitures offsetting higher interest and tax expense. Free cash flow is anticipated to be approximately $125 million up from $114 million. This is due to improved working capital and lower restructuring payments, offsetting higher incentive compensation payments compared to the prior year period. Note that annual cash incentive payouts are made in Q1 for prior year performance, and that over 90% of our colleagues are in the Annual Incentive Plan. We will have more full-year visibility when we report our Q3 results in March. Let’s turn to our financial position. Free cash flow for the half was a use of $130 million slightly ahead of prior year. Always a reminder, free cash flow is historically a use of cash in the first half due to the timing of annual journal subscription receipts, which are concentrated in Q3 and Q4. Lower CapEx year-to-date was due to timing. Also, we have some foregone cash earnings from divested assets. As a reminder, we don’t adjust that out in cash flow. Year-to-date, we allocated $64 million towards dividends and share repurchases, up from $61 million in the prior year. Approximately $25 million was used to acquire 557,000 shares at an average cost per share of $44.89. In June 2024, Wiley raised its dividend for the 31st consecutive year. Not many small cap companies can say that. Finally, our net debt to EBITDA ratio was 2.2 at the end of October compared to 2.0 in the prior year period. And with that, I’ll pass it over to Matt.
Matthew Kissner: Thank you, Chris. Let me briefly summarize. As I said last quarter, we’re off to a good start, but we’re not declaring victory. We have a lot more work to do to achieve our full revenue and margin potential, which will be a multi-year effort. Still we remain confident in core demand trends and other performance indicators, our execution and our alignment as an organization. We are making good progress in margin improvement with more to come. We are an early mover in AI. We are one of the first publishers to close a large licensing deal with LLM developers, and we are early to market on AI driven research fraud detection. We’re an early adopter of Salesforce’s Agentforce for our customer service optimization. They even cited our example on their recent earnings call. We’re working through various opportunities and feel good about the pipeline and our execution in this area. We have a leaner, more focused executive team now and we’re off and running. Our performance to date is as expected and we’re confident in achieving our outlook. Continuous improvement is our multi-year drumbeat. We are reinvesting where we have competitive advantage and operating leverage and we are continuously evaluating our cost structure. This is not a one or two year trajectory, it’s a continuum. I’ll finish by thanking our Wiley colleagues for everything they do to make Wiley, Wiley. An historically significant company at the forefront of change, a company doing good in the world. Thank you all for joining us today. I want to wish you and your families a safe and happy holiday season. I will now open the floor to any comments and questions.
Operator: [Operator Instructions]. We’ll take our first question from the line of Daniel Moore with CJS Securities. Please go ahead.
Daniel Moore: Good morning, Matthew. Good morning, Chris. Thanks for taking the questions and color. You covered a lot of ground, so I may have a few questions this morning as well, if that’s okay.
Matthew Kissner: That’s fine, Dan. How are you?
Daniel Moore: Very well. Maybe start with the momentum that you’re seeing in the learning business. You talked about some of the drivers, but maybe elaborate a little bit as well as your confidence in the sustainability of that growth going forward.
Matthew Kissner: Sure. We also have Jay with us. So, I’m going to ask Jay to comment on that.
Jay Flynn: Oh, great. Hey, how are you doing, Dan? Nice to talk to you again this morning and thanks for the continued interest in coverage. We feel, optimistic that we’re on track to achieve our guidance, driven in part by performance and learning. I want to focus for a second on the margin side. The team’s done a great job over the last 18 months to adjust our cost structure and continue to drive top line performance at the same time. And that has been a really strong effort by the part of the leadership there. We are seeing continued growth in our zyBooks platform in computer science, data science, AI, that is a core driver of performance learning, as well as a better recovery in our trade business, which as Chris noted in his prepared remarks, had been an underinvested area for us. We also feel very good about the progress that the team is making in new content acquisition, in particular in signings, which are a good forward looking indicator for us. So, all that taken together with, some added tailwinds from, AI revenue, which is always nice to see in that business. We feel like we’re on a good footing in learning. We’ve stabilized that business and the return to growth is exactly what we predicted when we started on this journey.
Daniel Moore: Very helpful. And then switching to research, maybe just talk a little bit more about trends that you’re seeing in article submissions, as well as your expectations for growth, overall that and then secondarily, maybe limited in what you can say at this point, but the new agreement in India is certainly interesting. When might you have more to say about the growth potential that as well as any margin impact that you see from that type of opportunity?
Jay Flynn: Great. Let me start with India just for a second and then we’ll kind of work backwards. We have been working with the Indian government, for multiple years to evaluate the potential for a one nation, one subscription agreement. And we’re very pleased. And we first of all, we want to congratulate the Indian government for getting this deal over the line. It’s been a priority for the Modi government for a number of years to get this done. So, we think this is going to have a huge impact for Indian research. This expands coverage of access to journal and database content to a tremendous number of Indian institutions. And we’re going to see it is a little early to talk about impact, but we’re going to see commensurate growth in our subscription revenue base. We’ve also through this process really developed close partnerships with some of the key Indian institutions. And India is the 6th largest market in the world for articles. So, those partnerships give us an opportunity to think about new ways to adjust our publishing approach in India. We feel like there’s great potential in the market in core areas that we all know about like engineering, but also increasingly as the government expands its priorities into core primary research in physics and life sciences and biosciences, it’s a very, it’s a market with a lot of potential and we’re glad to be in on the ground floor with the with the one nation one subscription agreement. In terms of overall, what we’re seeing in article submissions, the pattern holds the same. The markets in Asia are growing faster than markets in the West. But what I’d like to point out is that the markets in the West have recovered. So in fact, we’ve seen a return to growth in the kind of mid-single-digits in most of the Western markets and continued tailwinds from places like India, China, excitingly also Japan. So, we’re feeling really good about continued demand for our services. As we always like to point out a lot of these articles go to underpin the value of our subscription business. So, it’s not going to pop as incremental revenue, but it underlies that core engine for Wiley and continues to bolster that. And then as Chris said in his prepared remarks, we did see nice growth in the prior queue from our author paid revenue streams and in particular, author paid open access in the journals business and we expect that to continue throughout the year.
Matthew Kissner: Yes. Dan, there’s also an important nuance to the volume, which is that even though the western markets have lower growth rates, because of the maturity of science in the western markets, those articles have higher approval rates. So, it’s both, it’s mix plus how many articles do we accept. It’s as we have talked about in the past, there’s some complex dynamics around the article pipeline.
Daniel Moore: No. That that’s probably intuitive, but a great reminder. Thank you. Maybe just you touched on additional cost rationalization, my word not yours, but cost reduction or management opportunities. Where do you see the most opportunity and do you expect to be in a position to quantify kind of a second leg of targeted cost reduction initiatives or do you expect additional savings to be more kind of incremental and ongoing?
Matthew Kissner: Couple of perspectives, and then I’ll ask Chris to comment. We see opportunities across the board, particularly an area of focus for us is technology as we modernize our infrastructure. We have some substantial investment going on in infrastructure modernization and we are looking forward to seeing the benefits of that. It’s obviously probably in a year or two when those projects are completed. But I think the more important message is margin improvement is now a way of life here, and we don’t view it in as separate projects, but really a continuous effort to improve margins year-on-year. And the good news is that we all get it. It’s a shared goal among the team and we’re excited about it. So, we will give more visibility into what the next few years look like, later this year as we see how our landing point and how this year plays out. But we’re excited about the opportunity to continue to drive margin improvement as we reinvest in growth in the core business. Chris, anything you want to add to that?
Christopher Caridi: No, I don’t necessarily have a lot more to add to that, Matt. I would say shared services in general is an area where we see the opportunities, and it’s just a bit premature to put specific numbers on anything at this point.
Daniel Moore: Makes sense. Any update on potential collections from sale of divested businesses?
Christopher Caridi: At this point, we anticipate getting the funds that are owed us. We do not have timing necessarily on, the largest outstanding balance, which was related to our university services business. We continue to watch that business closely and it’s performing and we anticipate that we will see some funds in the future, but not on a date or a schedule that we can articulate at this point. The due date on that note is substantially in the future, but we would hope that they will be able to secure some rounds of funding before that due date.
Daniel Moore: Makes sense. Appreciate the color. From a capital allocation perspective, obviously, cash flow much heavier in the back half of the year as is typical, but you continue to return cash to shareholders including $25 million for buybacks. Just talk about priorities going forward. As that cash comes in, would you be content to further reduce leverage? You do have internal investments, but or would you continue to be aggressive in terms of returning cash to shareholders, or are there other areas of investment should be thinking about?
Christopher Caridi: We’ve had a traditionally a very balanced approach and we would look to continue that as that cash came in, we are always evaluating opportunities to deploy it for future growth but, and have solid returns to shareholders, would look for anything unique to come out of that, it would most likely be initially used to pay down debt but be able to secure our ability to make investments into the future.
Daniel Moore: Understood. Last one for me, we’ve made a ton of progress. The portfolio has been reshaped. You’re getting further down the path in terms of your restructuring activities, pivoting to growth. Any plans for more aggressive Investor Relations outreach? It’s been a while since we did an Analyst Investor Day. Obviously, tons changed since then. So just wondering what you’re thinking is on that front as we head into maybe fiscal ‘26. Thank you again for all the color.
Christopher Caridi: Yes. I agree with you. We have a different leadership team in place. We’ve become more focused. So, we’re evaluating when is the best time to do this. It’ll be sometime in the next calendar year, but we do want to do an Investor Day and because we have a really a lot of good things going on that we want to share. So, the question is when is the best time to do that? But I would expect one in the new calendar year.
Daniel Moore: Very good. Chris, look forward to working with you. Thank you again for all the color.
Christopher Caridi: Thanks very much.
Matthew Kissner: Thanks, Dan.
Operator: And that will conclude our question-and-answer session. And I’ll now turn the call back over to Matt Kissner for any closing remarks.
Matthew Kissner: Well, thanks for joining us on this journey. Wishing you and your families a happy and healthy holiday season and we look forward to sharing more in our Q3 earnings in March.
Operator: Thank you all for joining today’s call. You may now disconnect.